Jose Manuel Entrecanales: Good morning. Jose Manuel Entrecanales, Chairman and CEO at Acciona. Welcome to the 2023 Results Presentation for both Acciona and Acciona Energias. On my right, the CFSO of Acciona Group, the Head of Infrastructure on my very right, CEO of Acciona Energia on my left, Rafael Mateo, and CFSO at Acciona Energia. I will be making a short introduction and then I will pass on the floor to Rafael first Acciona Energias, then the CFSO of Acciona Energias, and then on to the Group with Jose Diaz-Caneja, Head of Infrastructure, and Jose Angel Tejero, CFSO of the Group. During 2023, which has been the warmest year since records begun, we have seen the acceleration of both the effects of climate change and the transition towards a decarbonized economy with around 145 countries with net zero targets covering more close to 90% of global emissions. It’s a transformation that is producing what some say is the biggest relocation of capital in history. Clean electricity, the main vector of decarbonization, needs to triple to meet the demand required by conventional or new users, such as electrification of transport, industry, big data, or clean hydrogen to name a few. It is estimated that an additional investment of 1.7 trillion annually is needed. This figure more than doubles when considering the non-energy infrastructure required for resilience, transformation, and adaptation to the effects of climate change or the increase in urban population with its transportation, housing, sanitation, waste, or water implications. Fortunately, despite some marginal debate on the causes of climate change, these challenges enjoy unprecedented policy support and investment appetite, and notwithstanding some interest rate uncertainties, demand for infrastructure investment is at its highest level on record. Private asset managers are sitting on approximately EUR350 billion of dry powder, that is cash on the sidelines, looking for suitable investments while just in our four main markets: Spain, Australia, Brazil, and the U.S., the pipeline of global infrastructure projects for tender is expected to exceed EUR125 billion only in 2024. Indeed, a healthy balance of supply and demand with the only caveat that the projects need to go from green to brownfield in order to become suitable for investment by the financial community. The demand for smart infrastructures, we call smart infrastructures to those which are sustainable, appropriate for mitigation, adaptation, resilience, and transformation. As I said, the demand for smart infrastructures, both from promoters, usually governments, and investors is guaranteed. And few companies in the world are better suited, experienced, and recognized in the field than Acciona. There's a scarcity of players with the necessary technical and financial capabilities. Acciona is one of the few companies that can deliver such a broad portfolio of sustainable solutions. The successful execution of complex projects has been our best credential for achieving our record year in securing backlog and pipeline. Acciona also has a valuable asset base, which includes 13 gigawatts of renewables, EUR1.8 billion of gross asset value in real estate assets and operating and under construction concessions with an associated investment of $1.4 billion that will continue to grow on the basis of our EUR34 billion infrastructure backlog and 40 gigawatts of renewables pipeline. These figures are the result of broad infrastructure capabilities, global footprint while local expertise. All that generates unique, originating opportunities, diversifies risks, and allows for superior talent attraction. Rotating this asset base will provide us with ample capacity to take advantage of our privileged position as one of the few global suppliers of brownfield assets to an avid investor base. We are creating a broad portfolio of innovative solutions that provide a comprehensive response to the challenge of decarbonization and the sustainable transformation of the economy. Our aim is to move beyond the delivery of zero impact solutions to those that have a positive impact on nature and society. Along with this objective, our CapEx in 2023 has reached 99% alignment with the European taxonomy of sustainable activities. A figure that for a company that qualifies in a dozen different subsectors within the infrastructure universe makes Acciona the most complete provider of sustainable infrastructure solutions in the market. The sector broad taxonomy selective investment approach enables the generation of predictable returns from our existing asset base, good margins from construction of projects, and a comfortable asset rotation capacity that will allow us to continue growing and developing new opportunities. That is indeed the essence of Acciona, a greenfield to brownfield developer that turns projects, blueprints into valuable assets. By the end of this year, we will have over EUR17 billion of invested capital at network value in highly sought-after liquid energy and infrastructure assets. We are in a privileged position to continue growing through infrastructure investment, while maintaining a moderate and stable risk profile. 2023 has been a record year in terms of new megawatts installed with a total capacity of 13.5 gigawatts and it is worth mentioning the acceleration in our installation rate with Acciona Energia reaching 1.7 gigawatts in a year for the first time. This is about 3 times higher than previous years, thanks among others to our Australian footprint, mainly, particularly McIntyre, the McIntyre wind plant, which as you may know is a 1 gigawatt project. A remarkable leap forward in the U.S. with over 1 gigawatt added in 2023, or the expansion of new markets with a good risk-reward equation such as the Peru, the Dominican Republic, selected Southeast Asian markets, Canada, India or Croatia. As for innovative growth, we have deployed large scale batteries, pioneered green H2 hydrogen projects, continued to invest in state-of-the-art biomass generation, electric vehicle charging, and advanced in floating offshore to transition towards a more sustainable and resilient energy landscape. 2023 has also been a record year in non-energy infrastructure, managing to reach record highs in sales, backlog, and increasing operating margins with a good performance from our three non-energy business lines: construction, water, and concessions. It is worth highlighting the completion of some landmark construction projects such as the follow line in Norway, the Quito subway in Ecuador or the SACSEA or the Rockwood dams in Canada and Australia, respectively. In addition, Acciona has been awarded several emblematic concessions, such as the I-10 highway in the United States, in Louisiana, and major transmission lines like Humelink or Orana in Australia. We are indeed well positioned to continue winning concession projects that will further enhance our asset base and allow for future asset rotation with significant IRR compression and its value enhancing consequences. ‘23 was a pivotal year for Acciona Water, with important milestones such as the award of the concession for the construction, operation, and management of the second largest desalination plant in the world, fully operated with renewables in Casablanca, Morocco, or the Alkimos Seawater desalination plant in Perth, Australia. These projects integrate into a concession portfolio of more than EUR1.4 billion of associated investment in the next few years and already in place, already invested, operating around the construction, such as the Linea Line 6 in Sao Paulo Metro or the diversion channel of the Red River in Fargo in the U.S., that should significantly increase in value is as they approach the brownfield status. In the coming years, we will intensify our activity in the concessional deployment of sustainable infrastructure in all of the sectors of expertise. This facility has translated into an EBITDA of EUR2 billion and net profit of EUR541 million in a challenging macro and energy price environment. Despite substantial net investment cash flow totaling EUR3.3 billion, our prudent financial management ensured that our leverage ratios stood at 3.3 net debt to EBITDA, well within the confines of our financial policy of less than 4 times. Our investments will be supported by the company construction cash flow, the operating cash flow derived from our operating asset base, traditional and green debt financing, and a systematic brownfield asset rotation that will make sure we comfortably maintain our investment grade rating and a stably growing dividend policy. Our proven greenfield infrastructure developing capacity, together with a wide portfolio of operating assets will allow us to continue supplying de-risked assets to the world's broad investor base with its return multiplier effect, while keeping a prudent and stable risk profile and healthy dividends to our shareholders. Looking ahead in 2024, at [Indiscernible] level, we anticipate single-digit growth at EBITDA level excluding capital gains from asset rotation and healthy double-digit growth all in all. As for the medium term, we aim for sustained double-digit growth in both cases. Our net investment cash will reach EUR2 billion to EUR2.5 billion in 2024 and stabilize at around EUR2 billion in the coming years, always remaining consistent with our investment grade and dividend commitments. With a healthy net debt to EBITDA ratio below 3.5 times and a stable single-digit dividend growth in 2024 and in the medium term. With that, I thank you for your attendance and I pass on the floor to Rafael Mateo of Acciona Energias. Thank you.
Rafael Mateo Alcala: Thank you. Jose Manuel. Good morning, ladies and gentlemen. Let me start with the Acciona Energia 2023 results presentation, starting with the key highlights and then take through the main strategic messages that we like to convey today. 2023, as Jose Manuel said, is a year of record levels of organic growth with 1.7 gigawatts of new capacity, which is more than 3 times the run rates that we had in the previous years. We met what was our key target for the year, also fulfilling our IPO aspiration of stepping back our growth to a new level of capacity. The global disruptions of 2021 and 2022 are largely behind us, but the context appears today to sign a better operating environment. Today, total installed capacity rates 13.5 gigawatts and consolidated capacity grow even more by 2.25 gigawatts reaching 12.1 gigawatts, thanks to the growth and also to the consolidation of Renault Mar and Moura as we have increasing our stakes in some of our EV assets developed and operated by the company. In 2024, we will install at least another 1.7 gigawatts and we have the origination and execution capabilities to consistently deliver high levels of growth in the new valley [Indiscernible] projects although our approach to medium-term capacity additions will be quite flexible. As Jose Manuel mentioned before in his introduction, we see very strong growth potential in renewable energy in the world today. It's a market that is sprouting due to the huge investment needs to reach the net set of conditions and the very strong policy support and the very strong availability of capital seeking to participate in this huge opportunity. We see a great opportunity for increasing our value as developers on the back of our 30-year track record in global reach, on the back of our origination and execution capabilities and the strength of our pipeline, our balance sheet, and our large and profitable asset base from which we can rotate if we want or if we need to do. Jose will elaborate more on this theme, but in this new environment what makes sense for us is to rotate as many assets as needed in order to grow as much as is profitable to grow, provided that we can maintain our credit ratings as there is a healthy asset rotation market. Other highlights of the year in terms of growth includes our pipeline which stands at 40 gigawatts across all the mature and emerging technologies where -- in the markets where we are operating. In Spain we complete the acquisition of an additional 25% stake in Renault Mar, consolidating 494 megawatts of capacity that was developed and operated by us. The price was very attractive at the implicit of EUR0.9 million per megawatt, and this was an important strategic milestone for us in the 2023. We are so very happy to have a new and large project in India after some years of very low activity there. We will contract -- construct the largest PV plant in the country with 413 megawatts peak and also in South Africa where we are very advanced in the structuring of private PPAs and financing for 200 megawatts of new wind farms. We are also back to Canada with 280 megawatts of wind under construction and the potential to increase the capacity to 400 megawatts. We commissioned in Spain our first hybrid plant, PV plus wind, out of a very large pipeline. In Southeast Asia, a very new region for us, new opportunities are coming along with the awards of PPAs for pipe projects in Thailand and also being selected in the Philippines by the government to develop a new wind project. Strategically, the company has also made a very good progress during 2023 with the commissioning and operation of our first utility-scale battery. Battery storage is advancing faster and is now becoming a tangible near-term opportunity in some markets like Texas or Australia. Our next battery project may come quite soon if negotiations of the tolling agreement progress is coming as expected in Queensland, Australia. This is a large-project battery of 400 megawatts, two hours of storage. And we are analyzing close to approve another U.S. project of storage in the U.S. market for 2026. In the field of PPAs, we achieve our target of contracting around 1.5 terawatt hour of new contracts, and we will highlight the 12-years PPA signed with Stanwell for the 487 megawatts Aldoga PPA plant. Stanwell is a key client for us, strongly supporting our renewable energy growth in Queensland, Australia. We have also advanced during 2023 with respect to our green hydrogen strategy, particularly with the Navarra 25 megawatts electrolysis projects. In terms of financial results, they are very solid, considering the partial normalization of the energy prices and the surprise change in the Spanish regulatory parameters. Our hedging strategy was a significant contribution -- was giving a significant contribution, helping the company to mitigate the impact of prices. New assets are also contributing positively, especially in the Americas. The output was also higher thanks to the new capacity and the consolidation of Renomar, despite the weak energy resources across the fleet. The new commission capacity will start contribution to production in 2024, ‘25. Our credit ratios remain very solid and within the medium-term investment rate thresholds, despite the record levels of investment. It's important to note here that higher investment is driven by acceleration of CapEx and for the new projects and by the postponement to 2024 of the monetization of the 30% stake in MacIntyre, Australia, and not by cost overruns. Additionally, this major acceleration in investment implies that worrying progress was exceptionally high at the end of the year, which is reflected in the debt figures, but not yet in the output in the EBITDA. The asset rotation will contribute in 2024 with capital gains to our EBITDA and helping to us to maintain healthy credit ratios in combination with CapEx flexibility. On the distribution of 2023 post-tax results, the board has proposed a dividend per share of EUR0.48 per share, while proudly maintaining the payout ratio at 30%. Moving to the next slide, I want to highlight our realistic optimism on the ability of Acciona Energia to continue to create value with new investment. PPA prices remain robust in our key markets and are significantly higher than pre-energy crisis, in many instances compensating for the higher CapEx and the higher cost of finance. There is still the scarcity of solid projects that remain on track and uncontracted, and customer demands continue to grow. That allows the company to be different -- to differentiate itself, and to obtain better prices from the customers. Contracts are today more balanced, protecting us against the growing development lead times and the uncertainties. There are certain factors that have improved, such as the stabilization or even the decline in the unit CapEx cost, particularly in solar PV, or the inflection point in the interest rates or the easing of supply chain constraints. We see a very large volume of new projects opportunity, but it's critical to be very selective and to use wisely our balance sheet capacity. Not all the projects that make our return expectations and we are discarding sizable opportunities and putting on wait and see certain markets. We are particularly keen on Australia, North America and Europe. In the next slide, with respect to our commercial policy in Spain and also in international markets as well, I'd like to make the point that our level of contractedness is not random. It's based on a sophisticated approach to managing our risk across the market where we operate, according with the local dynamics and according with the size and the mix of our portfolio. We also casually monitor our sales at risk across the entire fleet and the diversification across our contractual arrangements, technologies or geographies, in order to reduce the risk. Our philosophy of 80-20 contracted versus merchant is appropriate for our business, although we made some small changes to adapt to evolving dynamics. Merchant component is protecting us from being short energy, which can be a considerable risk in times of high price volatility, and also allow us to capture historically some extra value for our shareholders. In the next slide, I want to provide to you some data from the Spanish generation business and our hedging policy, as we always do. The portfolio is close today to 75% hedged for 2024 in terms of volume, and about 50% today for 2025. We will increase towards the 80% level for what in the year 2024. In the current context, we are considering reducing the weight of the short-term financial effects in favor of the higher long-term contracts. We are setting ourselves an objective of closing an additional 1 terawatt hour or so of medium- to long-term baseload contracts during the year with delivery of energy starting in 2025. In the current environmental prices, is provided opportunity to increase our visibility, while not having an opportunity cost in terms of the difference between the spot or the PPA prices as they are quite similar at the moment. In the next slide, we have laid out some scenarios for power prices, and the company's generation revenues based on current OMI forwards. The point I want to make here is that price events tend to be more biased to spike events in our scenario modeling based of OMI for the next few years is strongly asymmetrical as shown in the slide. The distribution of potential revenues for 2024 is most symmetrical given the high level of hedging, while in 2025 is more skewed to the upside as hedging is lower at this point in time. Now, let me hand over to Jose Entrecanales, Chief Financial and Sustainability Officer.
Jose Entrecanales: Thank you, Rafa. Good morning, everyone. Let me start with a comment on the balance sheet. We ended the year with a solid balance sheet position, capable of supporting our growth plans. We are a company with a strong cash flow generation, thanks to our large and efficient asset base. Power price volatility on our merchant generation does not change that fact. If we look at the period since our IPO, we have funded around 55% of our CapEx program and our dividend payments with our internal cash generation. This, together with our limited medium-term CapEx commitment gives us a good ability to manage our leverage profile. Furthermore, taking our 2023 operating cash flow, we're trading at an implied yield of over 10%. Even in the current environment with somewhat lower power prices, we see similar levels of cash flow generation. As I mentioned, our credit ratios remained solid and within investment-grade thresholds, consistent with our expectations at the IPO. It is true that our leverage ratios have increased in 2023 from the extraordinarily low levels of 22% as our investment peaked in 2023 and power prices normalized. We are, as a result of no longer an under-geared company, but we are not an over-geared company either. We are simply a company that has to actively monitor and manage its credit profile, which is neither abnormal not a reason for concern in management's view. I want to note that the credit agencies are not merely looking at a single year's ratios, but taking a through-the-cycle view. We need to be within the threshold on a sustained basis, which is normally a three to four year view, and that is what we will do. Protecting our ratings remains a top priority, and we will plan and react accordingly. This translates to taking a more flexible approach to medium-term capacity additions to be evaluated together with the other key lever to manage our balance sheet, which has already been mentioned, asset rotations. Given our current trading levels and the growing divergence between public and private market valuations, rotating, operating de-risked assets is the most competitive source of capital to fund our growth, together, obviously, with our internal cash generation, of course. The context has changed. Interest rates are higher, CapEx per megawatt has stabilized, if not increased compared to pre-crisis levels, and renewable stocks have become somewhat out of favor. Therefore, we need to adapt. In this environment, we say clearly that it is not desirable to target run rate growth of 1.8 to 2 gigawatts per annum of new capacity in order to chase a 20 gigawatt capacity target, which has ceased to have much meaning in the context of the asset rotation strategy that I was describing. We will adopt a flexible and selective approach to new project investments. We have significant committed CapEx in '24, but only a modest amount in 2025, and none thereafter. Our projects tend to be smaller in size and with shorter development lead times than in offshore wind. So we have the ability to move swiftly and to accommodate our investment commitment to changing circumstances in a 12- to 18-month period. Our intention is for net debt to post a modest increase by the end of 2025 relative to December 23, and we will do that on the basis of CapEx flexibility in 2025, and asset rotation activity in both 2024 and 2025. Beyond 2025, we would like to leave it quite open. In the current context, we would say that 1.25 to 1.5 gigawatts of gross annual new capacity may be compatible with prudent ratios, provided a good level of asset rotation activity. Needless to say, these capacity additions are contingent on meeting our return targets, and staying within our credit rating thresholds, which in turn will depend on the pace of asset disposals. So they should not be interpreted as fixed targets, but rather as an indication of the direction of travel. As we have said, the overriding principle is to manage our asset portfolio and our investment activity as needed, to maximize our value as one of the few integrated renewable developers with a sizable base of operating assets. Going into our asset rotation strategy in more depth. In addition to acting as a driver of new investment, it will also allow us to crystallize value across the portfolio, streamline our geographical footprint and accelerate the reduction of exposure to Spain. Rotation also gives us the opportunity to maximize the value of our origination and execution capabilities, finding the most competitive pools of capital for every asset in the portfolio, and every project in the pipeline. We are targeting run rate capital gains from asset rotation of around EUR200 million to EUR300 million per annum, and we're making good progress with the first transaction in Spain, where initial indications of interest are encouraging and very much in line with our original expectations. In terms of outlook for 2024, we see consolidated output of around 26.5 terawatt hours, and an average achieved price for the global fleet of around EUR65 per megawatt hour with higher achieved prices in Spain and lower prices in the international portfolio. In terms of EBITDA, before capital gains, we see a central scenario of approximately EUR1.1 billion before capital gains, dependent, of course, many output and wholesale prices, which are volatile and difficult to predict in the current circumstances. Including capital gains, EBITDA could grow by 5% to 10% relative to the previous year towards the EUR1.4 billion mark. Medium-term EBITDA growth taking 2024 as a base, which is likely to be a normalized power price year, we see in the mid to high-single-digit CAGR to 2028. In terms of investment, gross CapEx, net of the monetization of the stake in the MacIntyre project is expected to be around EUR2 billion. And net of tax equity proceeds, and taking into account the EUR56 million already spent in the share buyback program in the first few months of 2024. The total net investment will be in the EUR1.8 billion to EUR1.9 billion range. Net CapEx will naturally be lower when we factor in the proceeds from the asset rotations in the year. And in terms of the distribution for 2023 -- of 2022 results, as mentioned by Rafael, the Board has proposed a dividend per share of EUR0.48, maintaining the payout ratio at 30%, which implies a distribution of EUR158 million. And now, let me give a quick overview of full-year 2023 financials. Revenues fell by 18% to EUR3,547 million with lower generation and supply revenues due to lower achieved power prices in general, in Spain and international, while consolidated production increased by 9% year-on-year. EBITDA stood at EUR1,285 million, down 22%, with international up by 37% to $547 million, and Spain down by 41% to $739 million. Net income of $524 million fell by 31%, and includes the capital gain resulting from the full consolidation of Renomar, which added EUR145 million. Net investment cash flow increased from EUR1.3 billion in the year before to EUR2.3 billion with intense construction activity and new projects. The monetization of the 30% in MacIntyre was postponed to 2024 and will reduce net investment in the current year. Net debt at year-end, including IFRS 16 amounted to EUR3.7 billion, and net debt-to-EBITDA ratio stood at 2.9 times. In terms of main operating metrics, we have already mentioned the significant growth in installed capacity and consolidated capacity. Underlying output was weak with low resource across the portfolio, the average price fell by 24% to EUR86.4 per megawatt hour. And availability increased slightly by 1.5 percentage points to 95.7%. In terms of key ESG indicators, I would highlight the full alignment of our CapEx with EU Taxonomy. Scope 1 and Scope 2 emissions increased as a result of new accounting standards that reclassify fleet vehicle emissions of Scope 1. However, we remain well within our SBTI target, and we have made a substantial reduction in our Scope 2 emissions. On the social front, we have reinforced our programs for recruitment and development programs for female leadership, and we've also increased our social impact management programs to 133 million with more than 290,000 individual beneficiaries. In July, we published a new sustainable impact financing framework for the entire ACCIONA Group with several innovative elements, including the possibility of adding local impact features through traditional green user proceeds or sustainability-linked instruments. And these are already being implemented in real life. In terms of investment, you can see the breakdown of the EUR2.3 billion of CapEx invested during the year related mainly to our U.S. PV assets, the coning and battery in Texas, our 40-mile project in Canada, and MacIntyre in Australia, as well as in Spain, including the payment for the acquisition of Benomar and the San Juan de Marcona wind project in Peru. This slide shows the main cash flow items for the year. As discussed, we have CapEx peaking at EUR2.3 billion. Working capital includes the resettlement of 2022 regulated income given that the new Ministry of order resetting tariffs came late in the year, and we handed back late in the year 2022 -- and we handed back the as collection during early 2023. It is worth highlighting the net debt associated to assets that are either under construction or that have not contributed to a full year of production at December 2023, amounted to EUR2.9 billion, which reflects the fact that our capacity installations last year were very much back loaded. Moving to the next slide, you can see the main metrics of our financial debt. Worth highlighting, the cost of financing has increased mainly as a result of higher base rates. We have extended the average maturity of our debt to almost six years, and the proportion of debt with fixed interest is of 56%, while floating represents 44% of our debt, which will allow us to benefit from a falling rate environment. Going to Spain, and main revenue drivers. The average price, achieved price was EUR109 per megawatt hour compared to EUR167 last year. We note that the gas claw back is now accounted as an operating cost in contrast with last year, where it reduced the revenues following -- and we made this change following the European Securities and Markets Authority guidance in this respect. And worth noting, that our hedging strategy contributed significantly to improve the average achieved price in 2023, given the reduction in prices throughout the year. In terms of operating results, Spanish generation revenues fell by 29% to EUR1.1 billion as a result of lower prices, and supply revenues also fell significantly for the same reason. Generation EBITDA of $749 million was 41% lower despite the contribution from growth, as you can see on the bridge on the right-hand side of the slide. In the international portfolio, volumes increased by 9% to 11 terawatt hours, thanks to new capacity, with underlying production only 1% up on a like-for-like basis with a relatively low energy resource. The average international price remained flat at EUR66 per megawatt hour with particularly strong prices in Mexico, higher prices in the U.S., and improving prices in Chile. Australia saw a steep correction in prices, which reached unprecedented highs in 2022 in the context of the energy crisis. And to finish, international revenues fell by 3% to EUR1.1 billion with generation revenues increasing by 9% to $746 million, while supplying other fell to $375 million. Generation EBITDA international -- in the international portfolio reached $550 million, increasing by 26% year-on-year, mainly due to the contribution of new projects. All markets, except for Australia, where prices fell heavily improved their results year-on-year. And with that, we finish the ACCIONA Energia results presentation, and I will hand it over to Jose Angel Tejero.
Jose Angel Tejero Santos: Thank you, Jose. Following the presentation made by Acciona SA. Let's now move to ACCIONA results ‘23 financial year. As you can see, revenues grew by 52%, just over EUR17 billion with international markets accounting for 72% of the total. The high rate of growth was driven by the good performance of infrastructure, and by the full consolidation of Nordex. In like-for-like terms, revenues would have grown by 7%, 64% coming from international markets. EBITDA fell by 4% to EUR1,981 million, and profit before taxes fell by 6% to EUR819 million, both negatively affected by the fall in the energy prices as has been explained, which has not been completely offset by the growth in infrastructure, and the positive contribution of Nordex. 2023 has been a turning point for Nordex, which has contributed with EUR117 million to group EBITDA for the 9 months between April 1 to December 31. Net profit grew by 23% to EUR541 million and includes the capital gains resulting from the full consolidation of Nordex and Renomar for EUR405 million. Net investment cash flow increased from EUR2 billion the year before to EUR3.3 billion, and energy representing 61% of the total. 99% of the total investment cash flow has been aligned with the European taxonomy. And even with this high level of investment, we have finished the year with a net debt-to-EBITDA ratio of 3.3 times, well below the internal threshold of being on a consolidated basis below 4 times. The next slide, you can find our ESE highlights and key performance metrics. And it should be noted that these figures included for the first time, three quarters of indicators from Nordex. Taking these effects into account, in social aspects, the percentage of women in management position increased to 22.6% from 22.2% last year with Acciona previous scope. In terms of emissions, the incorporation of Nordex in Acciona’s consolidated accounts includes an additional 37 kilotons from Nordex three quarters up to 202 kilotons of CO2. But excluding Nordex, despite the significant increase in activity in the Infrastructure division, Acciona like-for-like emissions has been reduced by 1% to 165 kilotons of CO2, remaining in line with our strand-based decarbonization targets. During 2024, the calculation of the base line that includes Nordex will be carried out, maintaining the reduction target of 60% by 2030 for scopes 1 and 2, and achieving neutrality in this case by 2040, according to best market practices. Another notable aspect is the alignment with the taxonomy this year, reaching 99% of eligible investment in 43 different headings, which allows it to be defined as a green issuer or as the presenter previously said, the most comprehensive provider of sustainable infrastructure in the world. Going to the next slide. We can provide -- we provide details on the investment by divisions, aside from the EUR2.3 billion invested by Acciona Energia. We have invested EUR267 million in infrastructure, which includes 140 million in heavy machinery, as our projects are more capital-intensive, and EUR66 million in equity in concessions. The 376 million investment in Nordex includes $275 million shareholder loan rented in Q1 and converted into equity, and EUR101 million of Nordex on CapEx. We have also invested $158 million in other activities and $205 million in property development, which includes land acquisition of EUR120 million. Going to the next slide. You can see the main cash flow items that explain the evolution of net debt during the first 6 months of the year. The most important moving part has been the EUR3.3 billion of net investment already mentioned. Working capital inflow has reached EUR430 million positive, including EUR279 million working capital consumption of Acciona Energia, which is most of it is related to paying back to assistant excess of regulated income we collected last year. And EUR708 million of positive working capital inflow from the rest of the group, most of it generated by the infrastructure business in which collections as it is normally the case in the last quarter of the year has been particularly strong. Financing and other cash flows include the perimeter changes and the reclassification of EUR463 million of debt associated to assets available for sale. You can see that EUR3,651 million of our net debt at December 23. This is 56% of the total, is associated to work in progress. Most of it related to renewable assets that we have under construction, and that will be EBITDA contributors once they are finished. If we adjust our net debt figure by this amount, our leverage ratio in terms of net debt to EBITDA would fall to a mere 1.5 times versus 3.3% reported. In the appendix to this presentation, also, you can find detail information of our debt, it's calendar of maturities and our excellent liquidity position, which amounts to almost EUR8 billion. And now, let me hand it over to Jose Diaz-Caneja, Infrastructure CEO.
Jose Diaz-Caneja: Thank you. Let me start by showing up illustrating our international footprint and highlighting some of our major products. At the end of 2023, our infrastructure backlog -- proceed with the presentation. Now, thank you. So at the end of 2023, our infrastructure backlog is at a record high of EUR24 billion, 11.3% higher than in 2022. The aggregated backlog figure rise to EUR34 billion. This remarkable growth is due to our outstanding performance in securing new awards across all geographies. The year ended with EUR9.4 billion in new orders with additional EUR4.6 billion secured preferred bidders. This situation has been especially remarkable in Australia, where I would like to highlight the collaborative contracts for office link, HumeLink and early works for Central-West Orana. The country's first mega transmission line concession product. Additionally, in the water business, we have secured a concession for Casablanca desalination plant in Morocco, which will be the largest desalination plant in Africa. This figure reflects our robust performance and strategic positioning within the market, confirming our commitment to delivering excellence and global scale. Concerning the backlog breakdown, our current portfolio shows a balanced distribution, both geographically and in type of projects, contributing to labors profile reinforced by our extensive knowledge and technical capabilities. Geographically, we have a diversified portfolio where OECD countries comprise 78% of the total. Australia, Southeast Asia, is the region with the largest volume accounting 43% of the total portfolio, being closely followed by Latin America with 27%. While Spain, our domestic market accounts for 20% and North America emerges as a geography with the greatest development potential. This diversity is -- and the low risk profile of our backlog is reported by the increasing relevance of collaborative contracts, reflected in some of our major awards that represent 55% of our Australian portfolio. And that are gradually expanding to other geographies. In fact, a very recent milestone is the work of the Ontario line elevated guideway, and station contract in Canada, which is our first collaborative contract outside of Australia. The awarded Ontario line project includes the design and construction of 3 kilometers of bridging structures for an elevated guideway, and five stations. The contract will develop under a progressive design build model. This model allows for a collaborative approach between the project owner, MetroLink, Acciona, and our partner Amico, to jointly corporate to finalize the scope definition, risk allocation and the pricing of several elements on the contract, in order to reach a common understanding, maximizing the value of the product. This is not the only example of our commitment towards collaborative contracts to direct the recorded investment for dealing with the climate demographic and energy challenges. In this regard, we have also been nominated as a preferred bidder for the Alkimos desalination plant in Australia, a contract under alliance scheme that reinforced the presence of the water business in the country. This is going to be currently one of the most relevant water contracts, which comprise the EPC works and the operation of the plant for a period of 10-years that would be expandable to 15-years. The plant has a capacity of 150,000 cubic per day to provide water to the northern part of Perth. As a result of this strategy, milestones, our portfolio maintains an average life span of 3.2 years, aligned with our commitment to sustainable growth and securing midterm visibility. An excess type on concession assets, we have made significant progress in our strategy as global sustainable greenfield developer, with a clear focus on deploying capital in new greenfield profitable projects that can provide long-term and steady cash flows, and created value through recycling equity of de-risked operational assets. Currently, we have a highly sectorial diversified concession portfolio of 73 assets, including transport, water, health, transmission lines and waste-to-energy projects, as well as geographical with presence in all our regions. This concessions portfolio has been reinforced last year with a world of three major assets, as already explained it. The I-10 Highway in United States, which is our first highway concessions in the country, the Central-West Orana transmission lines in Australia, and the Casablanca Desalination plant already. These 3 projects only with the line of Sao Paulo Metro are the most significant recent concession assets in our portfolio. This latest award brings the total amount of equity committed to EUR1.2 billion, to which EUR395 million has already been invested and EUR834 million will be divorced up to 2031. Related investment in concession assets. As you can see in these graphs, most of the concessions assets are still under construction. So remaining EUR834 million of equity to be invested will be gradual over the next eight years until then will enter in full operation. The bulk of this investment, EUR712 million will go to transportation and transmission lines, while the water asset will require EUR121 million of equity investment. Once commissioned, the current portfolio of concession assets is expected to generate EUR7.2 billion in dividends for Acciona during this operational line. Finally, it's important to highlight the relevant synergy between the concession and construction activities, as the concession assets contribute as a backlog of more than EUR5 billion to the construction business. As mentioned earlier, currently, the major concession assets in our portfolio are Sao Paulo Line 6 Metro in Brazil, the Central-West Orana transmission line and the Casablanca desalination plant. Finally, joining them the I-10 highway in United States. Sao Paulo Line 6 in Brazil will be the biggest project under development in Latin America, comprising the construction of 15 kilometers of sideway line, and 15 stations plus future operation and then an availability payment scheme. The committed investment for the project rise to EUR4 billion. Central-West Orana is a PBP megaproject to develop a transmission line in New South Wales in Australia with an estimated investment of around EUR5 billion, also under the viability payment scheme. During 2024, we have signed the concessions for the I-10 highway in Louisiana, United States approved under splatted pull payment scheme also with an instrumented investment around EUR2.8 billion. And finally, for the Casablanca project, another relevant milestone that include the design, finance construction of an operation of a large desalination plant of 822 million liters per day of production capacity with an important sustainable component since CDW fully powered with renewable energy, and a gain of availability payment for 30 years. These assets share several common elements that define account strategy values and capabilities, being large and complex projects that require high technical and financial capabilities for the development with a strong focus on the energy transition and decarbonization, in order to have a positive impact on the society. Regarding our strategy, the outlook for the concession business is highly promising. Our dedicated team is actively engaged in identifying and pursuing new opportunities, resulting in the development of a diverse pipeline of opportunities comprising more than 55 projects valued at more than EUR94.4 billion, expanding globally across various regions. This robust pipeline is expected to progress into tendering stages within the upcoming 12 to 18 months. Our strategic approach emphasized the augmentation of our concession assets portfolio, aiming to secure between two and four new awards per year with a targeted equity internal return of 10% or above. We prioritize sectors that offer high added value potential in regions where we have extensive experience and expertise. Transport, integrated water cycle management, and transmission lines emerge as the focal points of our interest, reflecting our commitment to sectors that are crucial for sustainable development. Geographically, our focus lies on key markets such as Australia, North America, Spain, Brazil, Chile, Peru and the United Kingdom, where significant opportunities will arise. Of particular importance is our strategy to optimize asset value creation, to rotation of both greenfield and brownfield assets, maximizing their value generations. This model ensures an efficient deployment of resources while capitalizing on strategic opportunities in selected regions. Thank you very much. And now, let me pass hand back the floor to Jose.
Jose Angel Tejero Santos: Thank you, Jose. In terms of financial results, our infrastructure business has had an excellent year in 2023. In terms of revenues, profitability and cash flow generation. Revenues grew by 28% with international markets accounting for 83% of the total, coming mostly from OCD countries with solid risk profile. Australia and Southeast Asia are the largest geographical regions, accounting for 33% of total revenues. EBITDA increased by 49% compared to 2022, reaching EUR551 million, driven by the increase in production and margins from international construction projects, and the higher contribution from concessions. The construction business performed well, both in terms of revenue and EBITDA, with historical record significantly exceeding 2022 results, an increase in EBITDA margin to 5.9% in '23 versus 5% in 2022, driven by the growth in international markets, and the execution of large and capital-intensive projects. By geographies, operation has been particularly strong in Australia, United Kingdom, Chile and Brazil. Australia remains ACCIONA's construction market, accounting for around 41% of the revenues in 2023. The main projects under construction in these geographies are Line 6 of Sao Paulo Metro in Brazil, Sydney Metro West and Sydney Western Harbor tunnel in Australia, the largest contract of the portfolio. Moving into concessions very briefly, given that Jose has already explained in detail how important is this business for Acciona. EBITDA grew by almost 81%, mainly due to the greater contribution of the Line 6 concession of the Sao Paulo underground in Brazil, and from the Fargo diversion channel project in the United States. The business is expected to grow a lot in the mid-term, not only because of the start of operation of our current asset portfolio, but also because of the significant pipeline opportunities that we have identified, with more than EUR94 billion in projects which are diverse both in geography and by type of assets. As Jose been explained, a large part of our concession portfolio is under construction or recently awarded with 246 million equity invested at December 23 and $712 million equity commitments in the period, 24 and 31 -- to 31%, mostly in the Line 6 of Sao Paulo in Brazil, Central-West Orana transmission network in Australia, and the New Calcasieu River bridge I-10 in the U.S. This portfolio will generate dividends and equity distributions for Acciona of around EUR6.1 billion during the life of the concessions. Combined with our water concessions, our current portfolio of concession assets will generate more than EUR7 billion in cash distributions and dividends for Acciona in the next 28 years, which is the average life of our portfolio. In addition, we have identified potential new projects that could imply more than $500 million in equity investments in the next eight years. In water, revenues decreased by 4.6%, but a 6.8% increase in EBITDA due to the greater weighting of the higher-margin operation and maintenance business. With the backlog reached EUR5.8 billion with O&M contracts and concessions accounting for 77% of the water backlog. This backlog includes the Casablanca desalination plant in Morocco, the biggest desalination facility in Africa. Going to the next slide. Nordex results are already public as the company published yesterday's results, and had the conference call explaining them. So, I will go very briefly over the main market goes. As in 2022, Nordex continued with a strong order intake momentum in 2023, especially in the EMEA markets with a full year order intake increasing by 16% versus the previous year, adding up to 7.4 gigawatts. In terms of financial results, 23 has been a turning point for Nordex. Full-year sales increased by 14% to EUR6.5 billion, while EBITDA margin improved from a minus 9.4% in the first quarter to a 3.4% in the last quarter, reaching breakeven on a full year basis. In terms of guidance, Nordex has communicated its expectations of reaching an EBITDA margin of between 2% and 4% in 2024 and has reiterated its midterm strategic target of 8% EBITDA margin. Lastly, I will go very briefly over the other activities of the group. In Property development, we have delivered 720 units in ‘23, which is 17% more than the year before, but EBITDA was negatively affected by the product mix with a higher weighting of units delivered in Poland, as well as the delay in the delivery of Pajama projects in Acapulco affected by the Hurricane office, which amounted to 53 units. With a strong commercial activity during the year, our backlog of presale as of December 23 stands at 1,393 units, which covers almost 90% of 2024 expected deliveries, and more than 30% of those in '25. Therefore, the visibility of over the next two years deliveries is very high. Valuation-wise, the gross asset value at December 23 of our real estate portfolio was EUR1.8 billion, 17% higher than the one a year ago. And lastly, with regard to Bestinver operating results, reflect the lower average assets under management and some higher cost assets, but assets under management increased during the year, reaching EUR5.9 billion as of December ‘23, which is 15.7% more than last year. And thank you for your attention. Let me hand over the floor back to Jose Manuel.
A - Jose Manuel Entrecanales: Thank you. Thank you all. Now, we're going to proceed to the Q&A, and we will first handle the questions related to Energia, and then on to the Group's questions. So let's start, the first question comes from Flora Trindade at CaixaBank BPI. And it reads, considering that you see risks skewed to the upside for the Spanish pool price, do you see upside risk to your 2024 EBITDA forecast? Rafael.
Rafael Mateo Alcala: Thank you, Jose Manuel. Well, risk is always existing in our business. So it's very difficult to predict the prices for the future, especially today because the demand of gas from Asia is growing in the last days. But the point is that we have -- with our commercial policy, we are securing our revenues, and that we are having with that is to have more upside than downsides in our expectation. In any case, if this is very difficult to predict, more -- the factor that is impacting more is the price of the energy that is driven from the price of us.
Jose Manuel Entrecanales: Thank you. Second question from CaixaBank also from Florida Trindade -- from RBC, Fernando Garcia from HSBC, Charles Swabey. Can you provide the expected number of megawatts to be sold per year and the share of Spain and international? Jose?
Jose Angel Tejero Santos: That is an information we deliberately did not want to provide. We've tried to give some indication of guidance by way of the capital guidance that we provided of EUR200 million to EUR300 million per year, but we do not -- we literally don't want to predict or set a fixed number of megawatts because that could be flexible depending on the type of assets, the specific geography, and it could also be sensitive and somewhat jeopardize the processes that are ongoing. You know, that there is a process ongoing, which has been talked about in the press, which is the sale of a 400 megawatt portfolio of wind assets in Spain, and that is as much additional detail as we can provide for now.
Jose Manuel Entrecanales: Thank you. Question number three from Fernando Garcia at RBC. Is share buyback still an option if share price remains at this level. Indeed, it is an option. We've just finished our first share buyback of 1.5%. And we have spent around EUR120 million buying stock at 24.5%, which we believe is a very good investment, particularly if you related to the equivalent price per megawatt. So, we have a full plate of CapEx this year, but the rationale of share buyback still there. Question number four. Growth targets, Fernando Garcia from RBC and Enrico Bartoli from Mediobanca. I understand that the medium-term growth of 1.2 gigawatts to 1.3 gigawatts per year is net of asset rotations. Is that correct? No, I don't think so, but please expand.
Jose Angel Tejero Santos: That is -- it's important to make this clear. The indication that we have provided is 1.25 gigawatts to 1.5 gigawatts of gross -- that is growth of asset rotation from 2026 onwards. But it is important to note that this is an indication, not a growth target per se. We want to give a sense of what we think is feasible, while maintaining our key objectives of preserving our rating. And obviously, always as long as these investments are -- continue to be -- meet our profitability thresholds. But the target is 1.25 gigawatts to 1.5 gigawatts gross of asset rotations.
Jose Manuel Entrecanales: Let me add there that and stress out what we've already, I think, said a number of times because it is one of the main messages of this investor round. We will adapt our investment to credit rating, and we will rotate assets to adapt credit rating, new investment and asset rotations. The overwhelming element will be credit rating, but we will play with asset rotation and investment opportunities. So, long as the investment opportunities meet our rigorous criteria, we will try to meet with asset rotations in order to achieve these objectives and of course, the possibility of implementing new share buyback programs. Question number five, moving parts in the EBITDA of Energia 2024. Fernando Garcia and Enrico from Mediobanca asks if we can provide the delta of the main moving parts of the EBITDA that you expect -- that we expect in 2024 ex capital gains versus 2023?
Jose Angel Tejero Santos: We're expecting lower EBITDA in Spain due to lower prices. We're expecting prices in around the mid-60s slight reduction in international prices or average achieved prices on the international portfolio, but a significant pickup in international EBITDA due to contribution of new assets and assets that were constructed last year and did not have a full year of production. We're also forecasting an improvement from 2023 on the back of better resource, improving load factor to around 29%, 30%. Those are the main moving parts.
Jose Manuel Entrecanales: Number six, from Nelvana and JB Capital, Jorge Maris and Oskar from Santander is the assumptions for Iberia prices underlying our single-digit EBITDA growth guidance '24 to '25s?
Jose Angel Tejero Santos: We have used prices in the mid- to low-60s, which we think are consistent and sustainable over time. There are trends. We think that the current price correction in Spain and in Europe in general, will normalize as industrial activity picks up, and as weather or mild temperatures that we've seen this when they also tend to normalize probably in the winter of '24 to '25. So we're expecting relative stability in the mid- to low-60s in Spain.
Jose Manuel Entrecanales: Question number seven from Enrico Bertoli, which geographies do you think that the asset rotation transactions would be more likely? Spain will be the main market affected?
Rafael Mateo Alcala: Yes, we are starting in Spain, but we are going to be very flexible in the future, seeing all the opportunities in different markets and seeing the different appetite for operating assets in the new markets. But yes, today, as we said before, we are starting with 100 megawatts in Spain.
Jose Manuel Entrecanales: But of course, we're flexible depending on market appetite and opportunities. Question number from Enrico Bertoli, Jorge Mares and HSBC Charley. Can you provide more color on the geographies where capacity growth opportunities are more likely in 2025 and beyond? I'm going to pass on this question to our Head of Development, Rafael Esteban. Rafael, do you have a micro -- good. Thank you.
Rafael Esteban: Yes. Our main markets for growth will still be the U.S., Australia and Europe, in Europe where we expect the maturity of our pipeline to come in pretty soon. But also, we will maintain activities in other markets as Rafael said before in the South Africa, Asia or India, where we have currently some expansion.
Jose Manuel Entrecanales: Thank you. question number nine from Enrico Bertoli, Mediobanca. Why did the average achieved prices decline in '23 versus '22? How will the price lever evolve in Australia in '24 with the contribution of MacIntyre. I suppose the first part of the question is -- applies to the general price level. And so, I will let Jose, take care of the first part, and I will pass on the Australia question to Arantza Ezpeleta, Chief Operating Officer.
Arantza Ezpeleta: The first part of the question, I think, is we had very extraordinary high prices in 2022 as a result of the war in Ukraine, and geopolitical tensions, and we've seen a gradual normalization of that peak in -- throughout 2023, if that correction has happened probably faster than we expected than what consultants and including ourselves expected on the back of relatively low industrial activity in developed markets and very high natural gas stocks in Europe. But we still benefited from a bit of that trend in 2023. Note that we had short-term hedges of around 3.5 terawatt hours at EUR158 in 2023. We see 2024 as a more normalized power price year coming on the -- off the back of that peak in '22 and somewhat in '23.
Jose Manuel Entrecanales: Thank you. Arantza?
Unidentified Company Representative: And if I may add, with respect to the average price in our Australian portfolio, we have to remind that MacIntyre is mostly under index PPAs, but it is not expected to change the average price of our Australian portfolio very significantly, although the merchant fees could add significant value to that. We have to bear in mind that this is within the Queensland market, and where a lot of solar taking place there, so where wind could add significant value. We expect the average of cheap prices in our Australia portfolio in average to be in the mid- to the high-40s for the year in Euro megawatt hour tons.
Jose Manuel Entrecanales: Thank you. There's one other question on Acciona Energy. And here from Moscarnahar. Regarding the long-term contracts in Spain, 1 terawatt are more makes sense, but why to close it now with power prices decreasing would be below the other contract at approximately EUR60 a megawatt ?
Rafael Mateo Alcala: Yes. We have said that we are maintaining our commercial policy in the old style of 80-20 contracted in merchandise exposure. And we are very consistent with this policy the idea of contracting today on more terawatts for the year in long-term contract is to secure in the time, but it's not having positive impact or negative is neutral in the P&L because the price in the PPA at the price in the merchant is very similar today. The idea is to secure the volatility -- to reduce the volatility in the long-term.
Jose Manuel Entrecanales: Okay. Last question on ACCIONA Energia from Stifel and Fernando Garcia. Can you share with us the implied average value per megawatt you had or you expect on your disposed assets and what other criteria you use for -- to identify rotation targets. Sorry, Roberto and Fernando. But as you can imagine, it's a hugely sensitive question which we cannot answer. In the sale process, you do not publish what your expected prices. I'm sure you understand. But there are plenty presence in the market, and I'm sure you have your own metrics in mind. The criteria we use to identify rotation assets is multiple criteria, market demand, our own portfolio balance, the swiftness at which transactions can be done. It's kind of a -- it's a number of moving parts where we are very flexible. So thank you very much. We're going to that does with the Cennergi Q&A part. So now let's get on to ACCIONA Grupo with the first question from Flora Trindade at Caixa. Can you please provide the expected EBITDA margins for construction in 2024? Either Jose or [Indiscernible] take that one, please?
Jose Angel Tejero Santos: Yes. We have a very question of the book. Or risk in it was one of these contracts? Sorry, we'll start again. We have a very healthy construction order book with lower risk leading to the increasing weighting of collaborated contracts, as explained, it was around 55% in Australia, and it's our main market and with more than EUR5 billion order book for our concessions. Therefore, we are very confident that EBITDA margins would be at least between 5% and 6%. These margins could be higher considering the execution of large and capital-intensive projects.
Jose Manuel Entrecanales: Okay. Thank you. Second question is on whether we are by Flora Trindade and Fernando Garcia at CaixaBank and RBC, respectively. Are you comfortable with your stake in Energia? Its valuation remains depressed. Could the buyout make sense? Let me just answer that on strategic options remain open, and the board analyzes every option on an ongoing basis. Question number 12 or number three in whatever -- next question from Fernando Garcia and Jorge Guimaraes on Acciona details and reasons, the positive working capital of EUR7 billion ex-Energia, Jose Angel.
Jose Angel Tejero Santos: Yes, I think I explained this in my intervention. But basically, to give you a little bit more color. Basically has mainly come from the Infrastructure division, mainly due to the good execution of projects, advanced payments and new awards, and the difficult seasonality of collections in construction. In addition, Nordex has had a positive contribution to that working capital of $110 million. Just to give you more color on the breakdown. The energy on the EUR430 million positive, Energy would drag EUR279 million and positive infra would add almost EUR500 million. Nordex, there's another positive of EUR110 million and the rest is the rest of the group.
Jose Manuel Entrecanales: Okay. Cary on Jose on the next one from Fernando Garcia, which is on how much is the concessions EBITDA is non-cash? Can you provide the EBITDA from Line 6 in Sao Paulo or any other non-cash.
Jose Angel Tejero Santos: The main asset, there is no cash at EBITDA level of concession is Line 6 because it's a financial asset, which has contributed with around EUR40 million. But let me explain a little bit more about this asset. This is an asset that is not subject to the bank risk. That's why it is financial assets, which means that the revenues are protected and have a floor. And also to give more color on these particular assets, once these projects start in operation on console-based on a 100% basis, it will generate around EUR400 million of EBITDA per year. And the dividends and cash distributions for Acciona over the life of the project will be around EUR1.6 billion over the life of the concession.
Jose Manuel Entrecanales: Thank you. Next question from Fernando Garcia. Could you increase -- you could increase 6 times the amount of the amount invested in concessions by 2031. And so are you considering potential new projects? Or would you consider partnership or asset sales? The answer is, indeed, yes. We will continue to invest intensively in concessions. We have a very strong backlog of offers coming up in the near future, and in the not-so-near future. And by all means, the policy will be to ally with other contributing partners, contributing in the technical from the technical point of view, mostly but also on the financial -- from a financial point of view. And by all means, the strategy will be to rotate -- in general circumstances to rotate in brownfield. Next question is Nordex on how much of the evolution from Jorge Guimaraes from JB Capital. How much of the evolution of the group debt comes from the consolidation of Nordex. Jose?
Jose Angel Tejero Santos: Well, Nordex has contributed EUR456 million to Acciona as the net debt position of the year, but that also includes IFRS 16.
Jose Manuel Entrecanales: Next question is from Fernando Garcia at RBC, it's on the Nordex again and whether we are comfortable with our stake? Yes, the answer is we are comfortable and even more comfortable now that we see a very strong turnaround in all the financial variables and the outlook for the company for the coming years. I think that's it. So I don't think we have any more questions. So I thank you very much for attending this presentation, and look forward to seeing you shortly. Thank you very much. Thank you very much for your questions.